Operator: Greetings and welcome to the TopBuild Earnings Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Tuesday, February 25, 2020. I would now like to turn the conference over to Tabitha Zane. Please go ahead.
Tabitha Zane: Thank you and good morning. On the call today are Jerry Volas, Chief Executive Officer, Robert Buck, President and Chief Operating Officer, and John Peterson, Chief Financial Officer. We have posted senior management’s formal remarks on the Investor Relations section of our website at topbuild.com. As shown on slide 2 of today's presentation, many of our remarks will include forward-looking statements concerning the company’s operations and financial condition. These forward-looking statements include known and unknown risks, including those set forth in this morning’s press release as well as in the Company’s filings with the SEC. The Company assumes no obligation to update or supplement forward looking statements that become untrue because of subsequent events. Please note that, other than as otherwise specifically stated; the financial measures to be discussed on this call will be on a non-GAAP basis. The non-GAAP measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. We have provided a reconciliation of these financial measures to the most comparable GAAP measures in a table included in today’s press release and in the presentation accompanying this call. Please turn to Slide 3. I'll now turn the call over to Jerry Volas.
Jerry Volas: Good morning everyone, and thanks for joining us today. We were pleased to end the year with a strong fourth quarter, with solid top line growth and operating margin expansion at both business segments. For full-year 2019, we again demonstrated the strength of our diversified business model and our seasoned management team as we delivered on our objective of achieving profitable growth. In 2019, the U.S. housing industry grew stronger as the year progressed, culminating in a 19.6% increase in starts in the fourth quarter. Our expectation that new residential construction will continue to strengthen in 2020 is based on several factors. Consumer affordability keeps improving as mortgage rates remain low. Wage growth is offsetting home price appreciation and builders have pivoted towards supplying more entry level homes. In addition, household formations continue to be strong. Many people who delayed home ownership are beginning to engage, fueling pent-up demand. We are also seeing limited inventory, reflecting the slow ramp from the housing bust. All in all, an excellent operating environment for TopBuild and our 2020 annual guidance reflects our optimism. While John will discuss our financial results in detail, I want to start with a discussion of a few of the overall trends. Within the context of 90-day lagged housing starts, which were down 2.3% for the year, our 2019 net sales increased 10.1%, with same branch sales increasing 4.6%. Our commercial business again performed extremely well, with same branch revenue in the fourth quarter and full year growing 11.4% and 18.6%, respectively. Our operating and EBITDA margin expansion are the result of our consistent focus. On Identifying and implementing operational efficiencies; realizing synergies from the USI acquisition, balancing selling price and input costs and leveraging our national footprint and fixed costs across the Company. All play a role in driving our bottom line, leading to adjusted EPS increasing 31% to $5.49. While Robert will talk about our commercial business plans and outlook in more detail, it is clear from our results over the past few years that our bundled solutions approach for general contractors continues to gain traction. This business now represents approximately 23% of our sales, up from 16% in 2015, and we now have an 11% market share compared to just 6% a few years ago. In addition, our commercial business is an important aspect of our uniquely diversified business model, as it helps to mitigate any cyclicality of the residential new construction market. This was clearly demonstrated in the first half of 2019 when lagged starts were down almost 7% and our commercial business grew over 23%. Turning to capital allocation on slide 5, after pausing acquisitions to focus on the integration of USI, we completed one acquisition in 2019, Viking Insulation. More recently, in the just the last week, we have closed two acquisitions, Hunter Insulation and Cooper Glass. Furthermore, based on our strong prospect pipeline we expect to close on additional acquisitions this year. And having developed a core competency integrating acquisitions onto our systems and supply chain, we expect to drive meaningful synergies quickly from these deals. As a reminder, our primary focus remains on core insulation companies, though we continue to evaluate a number of glass companies that would fit well with our existing $160 million business in this product adjacency. As noted on our last call, we believe this product category offers many attractive characteristics similar to insulation. While expansion in this area will be independent of our branch insulation network, we will be able to leverage our management expertise, customer relationships and supply chain model. Also, on the capital allocation front, in 2019 we purchased 1.3 million shares of our common stock for approximately $111 million. This includes the $50 million accelerated share repurchase announced on our last call that should be completed no later than the end of this quarter. Our share repurchase program reflects the confidence of both management and our board in the long-term potential of TopBuild, our strong future cash flow position and our firm commitment to optimizing the efficiency of our capital structure. John, will now discuss our financial results in detail.
John Peterson: Good morning, everyone. As Jerry noted, we finished with a strong fourth quarter which closed out a solid 2019 for TopBuild. I’ll start by discussing our fourth quarter results on slide 6, with comparisons to fourth quarter 2018, and then provide an overview of full year 2019. In the fourth quarter, net sales increased 3.6% to $662 million primarily driven by improved selling prices and volume increases in both residential and commercial, partially offset by a higher mix of multifamily work and an increase in entry level homes which generate lower revenue per unit. Gross margin expanded 120 basis points to 25.9% and adjusted operating profit grew 14.1% to $ $76.6 million with a corresponding margin improvement of 110 basis points. Both gross margin and operating margin improvements were driven by higher selling prices, improve labor and sales productivity and synergies from USI partially offset by higher material costs. Fourth quarter 2019 adjustments for nominal it just under $200,000 primarily tied to acquisition related expenses. Fourth quarter adjusted EBITDA was $92.5 million compared to $82.5 million and our adjusted EBITDA margin was 14% to 110 basis point improvement. Our dropdown to adjusted EBITDA margin was 44% in the fourth quarter, driven by improved selling prices, higher volume, strong cost control, synergies from USI and continued leveraging of our platform partially offset by higher material cost. Adjusted net income for the fourth quarter of 2019 was $50 million or a $1.48 per diluted share compared to $42.2 or a $1.20 per diluted share in the fourth quarter of 2018. Looking at our full year results, total sales increased total sales increase 10.1%, $2,624 million principally driven by our USI acquisition completed in May, 2018 increased selling prices and higher volume. Gross margin expanded 180 basis points to 26% primarily due to increased selling prices. Synergies from the USI acquisition, higher sales growth in our installation segment and operational efficiencies, partially offset by higher material costs. Adjusted operating profit improves 25.8% to $292.7 million with a corresponding margin improvement of 140 basis points to 11.2%. Full year 2019 adjustments total $3.2 million including rationalization charges and acquisition related expenses the majority tied to the USI acquisition. Adjusted EBITDA grew 26.7% to $359.1 million and or adjusted EBITDA margin improve 180 basis points to 13.7%. Our dropdown to adjusted EBITDA margin for 2019 was 31.6%, 46.1% on a same branch basis. Adjusted net income for the full year 2019 was $188.9 million or $5.49 per diluted share compared to $149.3 million or $4.19 per diluted share for full year 2018. Interest expense in 2019 increased from $28.7 million to $37.8 million primarily related to the funding of the USI acquisition, which included the issuance of $400 million senior notes and or borrowing of the $100 million delayed draw term loan. Turning to Slide 7, CapEx for full year 2019 was $45.5 million, approximately 1.7% of revenue. During the year we issued $15 million of equipment notes to help fund our fleet acquisitions. Working capital as a percent of trailing 12 months sales was 10.3%. 10 basis points lower than prior year. Our reduction in inventory was partially offset by an increase in accounts receivable day sales outstanding driven by the continued growth in our commercial business. Our effective tax rate decreased from 25.5% in 2018 to 24.7% in 2019 primarily due to an increased benefit from share-based compensation, partially offset by an increase in state and local taxes. For 2020, we expect our normalized tax rate to be 26% which is higher than our 2019 effective tax rate since the 2020 normalized rate assumes no benefit from share-based compensation. Operating cash flow was $271.8 million for the year. Total liquidity at year end was $373.4 million inclusive of the available balance on the revolver of $188.6 million and cash of $184.8 million. Net leverage at year end was 1.54 times. Moving to 2020 annual guidance on Slide 8, we are projecting total sales to be between $2,765 million and $2,835 million, and adjusted EBITDA to be between $387 million and $412 million. This assumes a range of residential new housing starts up between 1.30 million and 1.34 million. It also includes the two acquisitions Hunter Insulation and Cooper Glass, which we acquired this month, but no additional acquisitions we made make this year. On Slide 9, we've also provided our long range modeling targets for a number of metrics most of which are unchanged from when we last provided them to you a year ago. The range for working capital remains at 10% to 11% of trailing 12 months sales. The range for same branch incremental EBITDA is 22% to 27% and 11% to 16% for acquisitions also unchanged. We still project $80 million of revenue for every 50,000 increase in residential housing starts and our commercial sales growth to average 10% annually. We've lowered our normalized tax rate to 26% from the previous target of 26.5%. Finally, we now project CapEx at 2% of sales compared to the previous guidance of 2% to 2.5%. Building on these metrics, here's what TopBuild hypothetically look like at 1.4 million starts. Starting at 1,320,000 starts the midpoint of our 2020 guidance and increasing starts by 40,000 each year through 2020. We project just over $3 billion in annual revenue and EBITDA around $460 million delivering at 15% EBITDA margins. Acquisitions with both of these numbers and we expect considerable activity in this area over the next three years. Robert will now discuss operations and segment results.
Robert Buck: Thanks, John. Good morning, everyone. Before discussing TruTeam and Service Partners’ financial results, I want to thank our entire TopBuild Team for their hard work, dedication and ongoing push for operational excellence throughout 2019. Everyone’s efforts delivered another great year for our Company. Looking at TruTeam’s results on slide 10, fourth quarter sales grew 4%, beating lagged housing starts. Contributing to this increase were selling price, volume growth in both residential and commercial and contributions from acquisitions. Our solid results were offset, to some extent, on the residential side as a result of a higher mix of multi-family work and the move by production builders to more entry level homes which have a smaller footprint resulting in a lower take per unit. For the full year, TruTeam’s sales were up 13.4%, 6.3% on a same branch basis, again beating lagged housing starts which declined 2.3% for full year2019.Shifting to TruTeam’s adjusted operating margin, we saw a 90-basis point increase in the fourth quarter to 13.4% and a 150-basis point increase for the full year to 13.3%. Primary drivers were increased selling price, increased sales volume, operational efficiencies and synergies from the USI acquisition, partially offset by higher material costs. Since 2015, our first year as a public company, TruTeam’s full-year adjusted operating margin has expanded 820 basis points, a testament to great operational execution by TruTeam’s leadership and our team in the field. Turning to Service Partners on slide 11, in the fourth quarter total sales grew 4.3%, led by selling price increases of 2.3% and volume growth of 2%. For the full year, Service Partners sales were up 5.1%, driven by higher selling prices and a small contribution from acquisitions, offset by a slight 0.8% volume decline. You may recall that in the fourth quarter of 2018 we walked away from some low margin business which our team has been working hard to replace. Sales volume did increase in the fourth quarter and we expect volumes to continue to grow in 2020. Partially as a result of the exiting of that low margin business in 2018, Service Partner’s adjusted operating margin expanded, up 120 basis points in the fourth quarter to 11.3% and up 90 basis points for the full year to 10.5%. Adjusted operating margin also benefited from strong cost control, increased selling prices and operational efficiencies, partially offset by increased material costs. Moving to next slide. I know one top of mind issue for many is material pricing and industry capacity. The manufacturers announced a cost increase effective late January, and while it is still early in the year, based on recent housing starts and the optimism we are hearing in the field from our builder customers, the increase will likely have some traction. Capacity could also tighten, assuming housing starts continue to improve. However, we don’t expect a situation akin to 2018 where we saw loose-fill material on allocation. Additional batt capacity has come on line since 2018 and additional loose fill capacity is expected to be on line by the end of this year and the first quarter of 2021. We are confident in our supply chain and our ability to successfully pass through material cost increases, as we’ve previously demonstrated. Just a reminder, labor will remain at a premium in this rising housing environment. One of our strongest growth areas is our commercial business as shown on slide 13. Sales grew 24% for the full year, 18.6% on a same branch basis. On the heavy commercial side, we plan to greenfield more locations this year, which will bring our heavy commercial presence to more than 22 locations. Recent projects we’ve been awarded include 2 Penn Plaza in New York City and the George Lucas Museum in LA. We also continue to seek heavy commercial acquisitions which will expand our market presence and the types of insulation services we can offer to our general contractors. This bundled services approach has given us a distinct competitive advantage, growing our market share of this $5.5 billion industry from 6% just a few years ago to 11% today. Looking ahead, we are extremely excited about our prospects for our commercial business. We have a robust pipeline of potential activity and are already bidding jobs well into 2022. I will remind everyone that commercial revenue can fluctuate quarterly, especially for heavy commercial projects, as was evident in 2018 when sales started out slow in the first half of the year but increased in the back half of the year. Moving to slide 14, as Jerry mentioned, we completed two acquisitions this month, Hunter Insulation and Cooper Glass. Hunter is a residential insulation company that has been serving the Long Island market for over 80 years and we are pleased to have the talented team at Hunter join our TruTeam business. Hunter installs both fiberglass and spray foam and generates approximately $10 million in revenue. This is a great addition for TruTeam, increasing our market share in this high growth region and providing strong synergies as the company moves to our supply chain. Cooper Glass, which specializes in commercial storefront glass, is our first dedicated acquisition in this adjacent product category, where we already generate approximately $150 million of annual revenue. Cooper, which will contribute approximately $9 million in annual revenue, has been servicing the Memphis market for 28 years and we are happy to have the Cooper team join our company. We are excited about the prospects of the glass business and expect to grow our footprint and market share through strategic acquisitions. Before turning the call back to Jerry, I want to talk about one area of our operations that gets little attention publicly but is at the heart of our Company. Safety. As slide 15 notes, putting the safety of our people first is a core value and it guides everything we do at TopBuild. We believe safety is a lifestyle both at work and at home, not just a program or initiative. We strive for a Zero-Accident Safety environment at all of our nearly 300 branches as well as at our Daytona Branch Support Center. Safety training at each branch is conducted monthly and we ask our employees to sign a Safety Pledge, where they promise to never sacrifice or compromise safety to perform a job and to report immediately any unsafe conditions to their supervisors. Our employees visit over 15,000 job sites every day and we want them to return home safely to their families every night. In fact, a percentage of management’s annual bonus is tied to our safety metrics. As we look out to 2020, we will begin to benefit from the substantial ramp-up in starts as the year progresses. We are further encouraged by our extensive conversations with builders who are reporting solid demand. We are growing our market share organically and through acquisitions and expect to see continued margin expansion at both TruTeam and Service Partners. Our team is energized and we look forward to once again delivering strong bottom line results for our shareholders. All in all, it should be another great year for TopBuild. Jerry?
Jerry Volas: Before opening up the call for questions, I want to briefly mention the announcement we made in January regarding my retirement at the end of the year. Launching TopBuild as a public company in mid-2015 and driving outstanding financial results and shareholder value over the subsequent four years has certainly been a highlight of my business career. But it’s important to understand that this track record of performance comes from the efforts of a broad team beginning with Robert and John, extending to those here in Daytona at the Branch Support Center and, most importantly, in the field with our locally empowered branch management. The Board’s selection of Robert as my successor was a thoughtful decision at the end of an organized process over the last couple of years. Robert and I have worked closely developing the Company’s strategy and, as COO, Robert has executed this strategy throughout our national footprint. He has more than 10 years of experience with our business model and you can expect the same focus on profitable growth to continue under his leadership. In closing, 2020 should be another year of profitable growth for TopBuild. With a macro environment of strong residential housing starts and commercial activity, we will continue to focus on growing market share organically and through acquisitions. Our culture of cost control and operational improvement will translate that top line growth into further margin improvement. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from a Ken Zener with KeyBanc. Please proceed.
KenZener: Good morning, everybody. Jerry, congratulations. Very well done there. Could you guys comment on share gains by business segments, so starts were down 2.3% for the year, you guys grew 6% and is probably, two or three points of price in there. But can you talk about on this single family, on the residential side, how much share you think you gained there versus what was happening in the commercial market, if you would.
JohnPeterson: Hey, Ken. This is John. So, I think, one of the things we talked about in our prepared remarks was some of the headwinds we had, especially in the first - four quarter, excuse me on things like the mix of multifamily units. And the impact of the more - we're seeing more of the entry level size homes, which obviously affects our revenue per unit. But if you look at our TruTeam’s units in terms of how we perform, we were up about 3% in terms of units in the fourth quarter on our TruTeam’s business where obviously we have great clarity and great review with that. I think on a full year basis up about 1.5%. So and to your point, I think if you look at single family starts in the fourth quarter up about 2.4%. I'm not sure the full year number but certainly from a share standpoint, we feel like we at least held our own for the full year and the fourth quarter and if anything picked up a little bit, but as I said what affects the volume a little bit too is that mix impact I talked about in the multifamily and the take per unit on the entry level type homes.
KenZener: Excellent. And as my second question, your incremental EBITDA is well; it's been very strong to put it mildly. I'm just and I know your long term targets but I mean it seems like your M&A incrementals went up. You did mention you walked away from lower margin businesses. So the strength that we saw. Unless if I typed it in correctly, I mean, you were north of 40% in the second half of 2019. I know your guidance is what it is, but what would cause degradation to that 22% to 27% range in the first half given all the favorable factors you've highlighted? Thank you very much.
JohnPeterson: You're welcome, Ken. This is John again. I think I'm certainly proud of what the team has accomplished last year and, in the years, preceding that. The one thing we would point out 2019 had a couple tailwinds which are now baked into our 2019 base year which really are non-recurring. So, the first would be the fact that we did have a favorable balancing of price versus our input cost, especially material versus 2018 especially the first half of the year, that's now all baked into our comp. And then the other side of that is USI, the acquisition has generated significant synergies and most of those we finalized early in 2019. So that's now baked into our comp also. So, listen, I think if you take the midpoint of our guidance that we provided for 2020 on the same branch basis, we're just about right in the middle of that long term EBITDA drop down, and we provide the 22 to 27, and quite frankly, we'd be real happy to deliver that. But we did have a couple of things that that are now baked into the comp that we will be comping to in 2020.
JerryVolas: Ken, Jerry here, the one thing I would add to that would be that, to all the John's commentary, we want to put guys out there that we're comfortable with. We always work really hard to be fast and we've been two of the last three years we have done that. So it's a number we're comfortable with. We have a hard charging management team here that will always try to optimize. So that's how we think about.
Operator: Our next question comes from Trey Morrish with Evercore ISI. Please proceed.
TreyMorrish: Thanks guys. The first is on started to be is on the Cooper Glass acquisition. So you've suggests that you're looking heavily into expanding your glass business. But how do you think about this acquisition specifically and just thinking about potential future acquisitions. Now what tools you have or what can give the team at Cooper to support some fairly sizable growth for a business of that size?
RobertBuck: Hey, good morning Trey, it's Robert. So we think about the glass business a lot like we think about the installation business. There's a lot of the model fits really well with our model at TopBuild, especially our install business on the on the TruTeam’s side. We've done some work in this space quite a bit of work in this space. We know there are synergies to be gained, as we're building model there and as we build a scale from that perspective as a business. There are customer relationships that we can leverage relative to that. So we think there's quite a quite a bit of tools to bring in and we look at Cooper specifically, nice market in the Memphis market, well established business, and something that whenever we looked at the acquisitions, we always looked at the talent. And there's a great team there Cooper that we think can help broader in the business. And so that's one thing that attracted us, and that's, kind of the filter we go through as we look at the glass businesses, and I think as Jerry said, we've got a nice pipeline of potentials there.
TreyMorrish: Okay. And then on the Service Partners' side of the business. Clearly, you've had a tailwind for this year, from walking away from low margin business in late 2018, but how should we think about the underlying margin improvement in that business specifically, going forward? Now with that one time tailwind if you will no longer giving you a little extra boost?
JohnPeterson: Hey, Trey, this is John. So in terms of service partners, as we talked in the past, it's a business that obviously has a lot more variable costs and fixed. So as we grow that business, we will leverage some of the fixed overhead we have, but from a margin expansion as we think about the 22% to 27% range on incrementals. It certainly is at the lower end of that, but we believe there are opportunities to continue to expand margins based on the growth we've see industry growth expected, but it will be on the lower end of our guidance typically, because of the fact that again, it's a much more variable cost based business.
Operator: Our next question comes from Michael Wood with Nomura Instanet. Please proceed.
MichaelWood: Hi. Good morning. Good job again on executing this quarter. You talked about the increase multifamily with the builder push towards more affordable supply with rates low moving lower. Are you seeing a mix back up in your backlog? Or is the mix down a trend you'd expect to continue?
JohnPeterson: Hey, Mike. This is John. So as we think about that on a go forward basis, and I think you've seen the last three months of starts data that have come out, it's been a little more heavily tilted towards multifamily versus single. So we don't see that phenomenon at least in the near-term or midterm ending. And then when we think about the take per unit impact that we saw on the back half of the year, we expect that to continue to also we think, and certainly we see it in our pipeline right now and the size of the footprint is having some degradation is decreasing a little bit based on that and tomorrow entry level homes, As a matter of fact in our guidance in terms of 2020, we have baked in about a point of degradation on a residential new construction tied to that footprint. So, yes, I think those are trends that we don't see changing in the near or midterm and we've really baked that into our guidance at this point.
MichaelWood: Okay. As it relates to the conversion margins, I wanted to just ask about technology adoption. Can you just tell us if there have been major rollouts recently, if any are planned and if they are largely behind, where are you in the process of realizing the full benefits of productivity there with any new technology you've rolled out?
RobertBuck: Hey, good morning, Mike its Robert. So you've definitely experienced them in the past that things we rolled out relative to improving installer productivity relative to improving sales productivity. But it's a constant push for us around operational efficiency of looking for new ways. So I'll give a story kind of a small example here that we think is impactful. So we have a fleet of nearly 6,000 that go out every day. And so now we've installed the appropriate devices on our fleet that's going to allow us, number one, to make sure that we are operating under that safe environment that I talked about how our folks are driving and everything from speed to fast breaking of those types of goods is safety number one. But then it also allows us better as to how are we using the fleet relative to route optimization relative to is the fleet idle in that type of thing. So it really just allows us to do a better job of making our fleet more productive, which by the way makes our installers and our drivers more productive as well. So we've got constant things that we're working. That would be one example I'd give you that we expect to see some benefit from here in 2020, 2021 as well. But we're always pushing and looking for new ideas. And that's just our cadence as a management team.
JerryVolas: Michael also realized that as activity levels pick up, housing starts to get bigger, but there's a natural leveraging of even our semi variable costs, the installation labor, the sales labor, our productivity goes up naturally as we leverage higher levels of activity. So that's within our back as well. In addition to all the things that Robert talks about relative to best practices and leveraging that across the footprint.
Operator: Our next question comes from Phil Ng with Jefferies. Please proceed.
PhilNg: Jerry, it's been pleasure working with you and congrats on the new role, Robert. I guess to kick things off, your starts forecast for 2020 implies about 2% year-over-year growth. Notably fostered in some way what the public builders had been reporting and some of the forecasts out there. So just curious, what are you hearing from your customers and do you have any concerns that the bottleneck such as labor is going to constrained growth?
RobertBuck: Hey, Phil. Good morning. Robert. So John, now kind of tag team this. So I'd say our builder conversations are definitely very optimistic. They're very positive as to what's going on. They're seeing strong demand, strong foot traffic, a good selling season here in the spring. So very positive coming from the builders and I think as we said, we expect the ramp up and housing to happen throughout the year. As a lot of these starts, I've come here in the winter months. We think it will be a ramp through the year as this goes to the industry can ramp up as well. But I'd say in general, the builders are very positive and they're reporting good demand as you're hearing and reading as well.
JohnPeterson: Yes. And Phil, the only thing I'd add to that, this is John. I'd add to that is that you mentioned that the actual starts numbers up about 2.5% roughly. Certainly from a likes start standpoint, we expect that to be a little bit better. And that's baked into our guidance too, because as you know, the fourth quarter 2019 was significantly better than the fourth quarter of 2018 starts. And that's the first lag that goes into the next year or so. So that's baked into our numbers. Again, we feel good about it at this point so.
PhilNg: Got it. And then on some of the comments you just made, Robert, it'd be helpful to kind of help us think about the shape of the year because you were just talking about a lot of the starts happen there in the winter months and it's going to take some time to build an appreciating. You have some tough comps on the commercial side. Any color to kind of help us think about the shape of the year would be really helpful.
RobertBuck: I mean I think it's a good question, Phil. I think first thing we would point to is the lag. I mean we think especially given the timing of the starts and stuff that we think that lag will extend and is extending today. You heard, John, obviously talk about the mix of multifamily has been very rich as well. So we think it's a nice steady ramp through the year. When all happen here in Q1, but we'll see that ramp up throughout the year. And then I think the lag, you know, the lag will expand. We're seeing that. We're hearing that as we think about 2020. I'd say, we are again, I'll just point to those are optimistic. I would say obviously, we're busy right now. So we expect it to be a good 2020 as the ramp happens.
PhilNg: Got it. Just one last one for me, you noted the manufacturers are seeing some traction on this gen increase and can go for a second increase. How have your conversation been on pricing with your customers and you've done a fabulous job managing this price constant dynamic, but any risk at least for quarter you could get squeezed a little bit? Thanks.
JohnPeterson: Yes, I think at this point from a manufacturer standpoint, we're in good shape. We had a good heads up obviously in terms of this quarter price quickly increase. It was announced back I think early fourth quarter; we will be well prepared as we always already have conversations with manufacturers. If another increase comes and certainly with a pretty robust year expected, I'd say there's a good possibility of that, but we're always confident of our ability to pass through that task hill. And I think again, we've got great evidence of that historically in our results so.
RobertBuck: Yes. Phil, this is Robert. I would add on to John's comment, just with the builders given the ramp and stuff, labor is top of mind, right? I mean, that's something they're very focused on, which by the way, we think is a great TopBuild advantage as to how we can move labor around. How we can move our assets around? We think that service model that we have is the best in the industry given our integrated systems and our ability to really leverage our footprint stuff as well. So it's the common topic with the builders is obviously labor in there and wanting to make sure we can service them which we're confident we can.
Operator: Our next question comes from a Seldon Clarke with Deutsche Bank. Please proceed.
SeldonClarke: Hey, guys, thanks for the question. So, we've seen a pretty significant acceleration and report it starts last couple months and into January. And obviously, I think there's some noise in that data. So could you just give us a sense of how you think your underlying demand or volume growth is sort of trending for the first quarter?
JerryVolas: Sheldon, this is Jerry here. Kind of Robert's previous comments, I would describe that as saying that, the direct alignment between housing starts reported and our revenue has never been perfectly linear. There's always a variety of factors that move around, the lag, the mix between single and multi, the commercial which is an increasingly big part of our business marches to a different drummer completely. So but having said that, we have a lot of optimism relative to ongoing improvement in the business and higher volumes as 2020 progress as quarter-over-quarter. It is true that the biggest starts improvement impact happened late in Q4. So is that going to impact us positively in Q1? It will but more so later in the year. So the best we can do is to tell you that that we are very optimistic for all the reasons we talked about. I think builders are pivoting as we said towards smaller footprints that are going to drive up the volume for sure in terms of units. And, John, talk a little bit about some headwind not a big headwind, but some headwind relative to take per unit caused by more multi and single smaller footprints, but overall, it's a very, very good picture. And that's why we're as optimistic as we are with our guidance for 2020 and we think that 2020 quarter-over- quarter as the year goes on, it's going to get better and better as it relates to volume.
SeldonClarke: Okay, that's helpful. Thanks. I think you touched on this earlier, but I just want to get some clarification. If you - if commercial growth surprises to the upside, can you just talk about what that means for your organic incremental EBITDA margins?
JohnPeterson: Yes, this is John, Seldon. And so generally our commercial business in aggregate, both light and heavy commercial is pretty comparable to resi. So not a significant change plus or minus versus what we see on the residential side. So from an incremental standpoint really still within that 22 to 27, and not a really significant impact versus the overall top level results.
Operator: Our next question comes from Keith Hughes with SunTrust. Please proceed.
KeithHughes: Thank you. You talked earlier about the growth in commercial business, I think you said it was 23% of sales. Can you give us a rough breakdown of where you stand right now commercial versus new residential, multifamily remodel things like that?
JohnPeterson: You're talking to - Keith, This is John. You're talking about an overall sales volume?
KeithHughes: Overall sales volumes. Yes.
JohnPeterson: So commercial's about 23% of the overall number today, okay. And then if you look at our residential new construction within the business, which is I believe somewhere around 68 plus percent, somewhere in that range, 68% to 70% of the rest. That's about 70%, 30%. So it's about 70% single family and about 30% multifamily in terms of units. Okay. And on a revenue basis, it's obviously a different split than that since a multifamily about 40% to 50% of the value of a single family unit. Hopefully that helps you.
KeithHughes: Okay. So you're saying 70%-30% of the remaining 77%, is that what you're saying?
JohnPeterson: Well, the remaining 77% maybe seven or eight points to that is R&R, okay. So then you are down to a 68% to 70%, which would be R&C and that R&C split from a unit standpoint split about 70%, 30% overall between single and multi.
KeithHughes: Okay. And shifting to Service Partners, you made your comments on the price increase in insulation. Where do you think channel inventory stands? There has been a pre-buy ahead of this or what have you seen?
RobertBuck: Hey, good morning, Keith, it's Robert. So I'd say given supply and demand maybe had been some slight pre-buy I'd just remind a lot of those contractors and stuff don't have huge facilities to buy up too much from that perspective. So there may have been a little bit that we saw early this year, the increases were mainly effective towards the end of January, but I wouldn't call it significant.
Operator: Our next question comes from Ryan Gilbert with BTIG. Please proceed.
RyanGilbert: Thank you. Good morning. Appreciated that hypothetical on the around revenue and adjusted EBITDA on the $1.4 million starts. And I'm wondering if you feel like your company as it currently sits today is positioned to maintain or take market share. If we do see housing starts at $1.4 million where you think you need to add more people or you know, make additional investments in the business to support that $1.4 million starts range?
JohnPeterson: Yes, this is John. So certainly with growth in starts and our growth in commercial, the obvious area we're going to have to add capacity will be direct labor. So that's an area that again we've shown great capability to do over the recovery period here. I think I point out, we pointed out before and it's worth pointing out again, I think we have a distinct advantage versus most other insulation contractors in that we are able to routinely, and we do it all the time, share our labor back and forth across our footprint and the starts ebb and flow around the country. So that would be the obvious area, certainly equipment to support that growth. But I think Jerry mentioned before and I think it's worth noting again that we always get some point of leverage certainly on the fixed side, but even on the semi variable and the variable side, which you have seen, again, good evidence in our results as the industry recovers. So yes, obvious things we're going to have to invest in. I think we've also pointed out that from a CapEx standpoint, for instance, we average about 2% of our, our sales growth gets reinvested into CapEx to support the business a rather nominal. Yes, again great evidence for the past, six, seven years to perform at that level and we're confident to go forward with it. We can continue to support the investments in the business to grow.
RobertBuck: But Ryan, there's no big step function investment to make if that's which, if that's one of your thoughts.
RyanGilbert: Yes, I think that's kind of where the question was heading. It seems like we could potentially hit $1.4 million either this year no first half next year on a trailing basis. So that's helpful. Thank you. And then just as builders ship their mixed more to entry level, is there a preference for or is there been a substitution in different types of installations? So between batt, loosefill or spray foam? Anything you could add there would be helpful.
RobertBuck: Hi, Ryan. Good morning Robert. So I would say relative to shift, little bit less spray foam as the entry level homes have become more in demand and as the footprint is shrunk somewhere to the more entry level in the builders have focused more there. So, obviously, added more back towards fiberglass both batt and blow. So it's probably taken a little bit back from the spray foam side for sure. And spray foam continues to grow and we're seeing a lot of spray foam be inspect on the commercial side of the business. So as we always say, we do all products. So we're seeing the spray foam continue to be growing in demand on the commercial, different types of applications there.
Operator: Our next question comes from Justin Speer with Zelman & Associates. Please proceed.
JustinSpeer: Thank you guys. I just wanted to, I want to better understand this volume deceleration in the installation business because you were doing the fairly soft starts quarter or starts setting roughly 4% volume growth in previous quarters, and that really decelerated the less than 1% of the installation business. So I really wanted to have, I guess, a better understanding of how much of that deceleration is tied to the mix issue versus perhaps share loss in the quarter?
JohnPeterson: Sure, Justin, this is John. So the two things I pointed out that were the call them the headwinds in the fourth quarter and one would be the mix of multifamily and the kind of the pivot or the movement towards more entry level probably on a year-over-year basis comp based is cost us about $10 million for quarter 2019 to 2018. Okay, so that's it from a quantification standpoint, probably the best I can give you at that point. And again, any type of go forward impact baked into our guidance at this point that we provided. And the other thing I'd point out, I think, commercially, and I think we've talked about this on previous calls; we had a good quarter in the fourth quarter. But when you look at our first, second and third quarter versus the prior year comp, we were up substantially. So although a strong fourth quarter, not quite the growth that we saw year-over-year and the previous three quarters albeit a very strong quarter commercially.
JustinSpeer: Okay, that makes sense. That helps. And then the other thing I just wanted some help understanding is in terms of managing around the price increase slated for early 2020. How much price mix is embedded in your 2020 estimates and does that account for this first price increase? At least the January price increase?
JohnPeterson: Yes, so 2020 guidance and we usually don't break it down into too much detail. But at this point, what I'll share with you is that we have about, so I'll start with the fact we got about $20 million in acquisitions in the total at this point. And that's, of course, the full year impact of the Viking acquisition we did third quarter and then the two acquisitions we recently announced. We obviously gave you the starts threshold in terms of what we're projecting at this point. And the only thing I'd share with you is we really assume from a couple areas, other areas multifamily relatively the same mix that we saw in 2019. And then on a CPU basis, revenue per unit basis on a revenue residential new construction business down about a point on the residential construction just tied to the fact that again, more entry level homes in the overall mix that we're going to go see come forward. So beyond that will really not give any more details around the guidance and obviously, we will update it quarterly throughout the year.
JustinSpeer: That makes sense. And then last question for me just as you look at across your business, if you could give us any context around the cadence of activity regionally, and maybe some of the dynamics you're seeing in or at a regional basis with across your portfolio?
RobertBuck: Hey, good morning Justin, it's Roberts. So the thing about the residential side of the business, we're busy I think I mentioned that earlier. And if I look regionally across let's say the South especially so if I think about southeast, Northern Florida, but think about Florida, mainly northern Florida is very strong right now. Texas, the Southwest. All those areas are strong and they were seeing good demand across the country, but those will be those regions Southwest, Texas southeast and Northern Florida. There's that point to specifically. Commercial wise, as I mentioned, we have a good a good backlog. And good bidding that we're doing there, as we say, there can be fluctuations quarter-to-quarter, but we expect a good, good flow from commercial as well as we go through the year.
JustinSpeer: Then and just last question for me is just on the price increase. I know historically, it's been like a two, two per year kind of cadence and traction, would be may be dictated by underlying tone and tenure of activity. What's your view on the prospects of that typical kind of cadence given what you're seeing in your backlog today?
RobertBuck: Yes, I think there's definitely, if you look at the starts and in the demand pattern and what we're hearing from builders, I think there definitely could be a second increase this year. I think depending on how the starts go coming out of the spring and in the summer months, because that means something in the fall I think potentially and I think one thing we mentioned in the prepared comments is depending on that ramp, could there be some tightness in material potentially there could be depending on how fit that ramp into start. I would just go back because we offer the bundled solution. The one thing I would go back to just to labor. I mean the labor is at the premium that's top of mind for the builders and stuff as well. So it's a bundled package material and labor.
Operator: Mr. Volas, there are no further questions at this time. Please continue with your presentation or closing remarks.
Jerry Volas: Thanks, everybody, for joining us today. We look forward to our next call when we report our first quarter results in early May.
Operator: That does conclude the conference call for today. We thank you for your participation. And ask that you please disconnect your lines. Have a great day, everyone.